Operator: Good morning, and welcome to the MGM Resorts International Third Quarter 2012 Earnings Conference Call. Joining the call from the company today are Jim Murren, Chairman and Chief Executive Officer; Dan D'Arrigo, Executive Vice President, Chief Financial Officer and Treasurer; Grant Bowie, Chief Executive Officer of MGM China Holdings Limited; Chris Nordling, Chief Financial Officer of CityCenter. [Operator Instructions] Now I would like to turn the call over to Mr. Dan D'Arrigo.
Daniel J. D'Arrigo: Well, thank you, Mackenzie, and good morning, everyone, and welcome to our third quarter earnings call. This call is being broadcast live on the Internet at www.mgmresorts.com, and a replay of the call will be made available on our website later today. This morning, we furnished our press release on Form 8-K to the SEC and before we get started, we'll just read some Safe Harbor disclosure statement. On this call, we will make forward-looking statements under the Safe Harbor provisions of the federal securities laws. Actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in these forward-looking statements is contained in today's press release and in our periodic filings with the SEC, including our most recent Form 10-K. During the call, we will also discuss non-GAAP financial measures in talking about the company's performance. You can find a reconciliation of these measures to GAAP financial measures in our press release, which is also available on our website. Finally, please note that this presentation is being recorded. And with that, I'll now turn it over to Jim.
James Joseph Murren: Well, thank you, Dan, and good morning, everyone. First, on behalf of MGM, we want to express our best wishes and concern for everyone that's been affected on the phone here and our other friends on the East Coast for this very devastating storm, Sandy. Our hearts and thoughts are out to all of you. Today, we reported our third quarter operating results. The results in Las Vegas were consistent with the commentary outlook that we gave on our last earnings call. Remember, we had guided for REVPAR to be down slightly, and it was down a little less than 2%. MGM Grand Las Vegas had its best quarter in 2 years, and the Mirage had its best quarter in 3 years. Bellagio, obviously, held poorly and as a result, had a down quarter. MGM China had a record third quarter with EBITDA growth of 5% year-over-year before branding fees, and CityCenter continues to show progress as well with record third quarter EBITDA from resort operations up 18% year-over-year. Now, the third quarter did present tough comparisons in Las Vegas. However, we do continue to see indications of a recovery here. To give you a sense of the cadence of the quarter, August was particularly rugged, but then we saw improving trends in September, particularly in the back half, and that has carried into October, most importantly. We're managing our costs where we can and FTEs are down about 2% during the quarter. Meanwhile, we're completing many meaningful projects at our properties and are working on a handful of key strategic development and expansion opportunities, including Cotai, which we'll get into; Maryland, Massachusetts and Toronto. In Cotai, we have formally signed the land concession contract and have closed on a $2 billion credit facility, which, along with our strong balance sheet and free cash flow, will give us the financial flexibility to expand in that region, strategically invest in our current resort and continue to maximize shareholder value. In Maryland, we continue our efforts to support the passage of Question 7. We feel strongly that the expansion of gaming in that state to include table games with a sixth site will bring a number of much-needed jobs, millions of dollars for education and serve to keep Maryland competitive in that region. We're also pursuing a project in Springfield, Massachusetts, where we have been very excited about the positive response and enthusiasm we have received there. Our vision in Springfield is to connect Main Street with the vital amenities that already exist in and around the downtown area. MGM Springfield will reinvigorate the city with new retail, dining and entertainment opportunities and spark, we hope, the comeback of this once prosperous New England city. In Toronto, the provincial government has proposed that the city consider hosting a casino in Toronto. As one of the preeminent cities in North America, Toronto represents an exciting opportunity for MGM with a great deal of international visitation. The city has established a process for evaluation, which is underway, and we fully expect to participate in that. And finally, our customer loyalty program, M life, continues to grow rapidly and show progress. Over 1/2 of our database has opted so far to become an M life member, taking membership above the 30 million customer mark. Regional market shares continue to grow with trip frequencies up in all regions indicating increased engagement there. We're expanding our strategic partnerships in order to add value for our M life customers, as well as growing our M life customer database. Just yesterday, in fact, we announced a partnership with Royal Caribbean Cruises. That's something we're quite excited about and we believe will be a great benefit to our customers and our database. And of course, our partnership with Ameristar continues to drive new membership and increased bookings. We're very pleased with our relationship with them. On our social game, myVegas, which, as you know, we launched this summer, we already have over 350,000 monthly average users. And many of these customers have actually redeemed their virtual points for actual goods and services at our Las Vegas properties, showing the true conversion from social gaming to our Las Vegas resorts. I think that is the trend which will continue to our great benefit. And with that, I'd like to turn it over to Dan to talk about, specifically, our operating results and how we're doing financially.
Daniel J. D'Arrigo: Thank you, Jim. First, I'll cover a few specific details regarding the quarter. Excluding the impact of a noncash impairment charge and accrued Harmon demolition cost at CityCenter, our adjusted property level EBITDA this quarter was $473 million. Our table games hold percentage increased by about 1 percentage point year-over-year, which fluctuated significantly at several of our properties. In fact, as you see in the tables, Bellagio was negatively impacted by low hold percentage. It was actually about 13% in the quarter, which is abnormally low for a property like Bellagio. That was offset by slightly higher than normal hold at some of our other luxury strip properties. While we were able to maintain our rate at our properties, we did experience a decrease in occupancy, which we had talked about on our last call. The slowdown in the year, for the year convention bookings, we experienced in the second quarter, combined with a difficult comparison, led to a decrease in convention mix of about 2 percentage points year-over-year in the third quarter. This was mostly reflected at Mandalay Bay given their large convention business in -- at that property. While our occupancy remained high at over 90%, our food, beverage, retail and entertainment were affected by the fact that we had over 100,000 less occupied room nights this year versus last year. These segments were also impacted by certain of the remodels and transitions, several of our buildings and we expect that to turn as we bring these new amenities online in the upcoming quarters. Our corporate expense for the quarter was up by approximately $19 million versus last year. $17 million of that increase is related to the ongoing development efforts in Maryland, Massachusetts and Toronto. The election in Maryland is next week, so we do expect our corporate expense to be higher here in the fourth quarter, driven by the referendum expenses we're incurring. And that will be up in the fourth quarter in a range in kind of the mid $60 million level for corporate expense before our stock comp expense. In September, we issued about $1 billion in unsecured notes at a rate of 6.75%, a level the company hasn't achieved since 2006. Following this transaction, we currently have about $855 million in available capacity under our revolver and approximately $900 million in excess cash, totaling over $1.75 billion in liquidity, excluding MGM China. We will continue to evaluate the opportunities to derisk the company going forward and further improve our cost of capital. As we previously reported, thanks to the support of our relationships and our banks in and around the world, we're pleased to announce that this week, we closed on our MGM China credit facility. The facility was increased from $950 million to $2 billion, with a new 5-year maturity, and is a combination of term loan and revolver. The credit facility rate will initially be HIBOR plus 250 basis points for the first 6 months, and then will range from 175 to 250 over HIBOR determined by MGM China's leverage. Our third quarter CapEx was approximately up $101 million in the quarter, including about $30 million at MGM China. We continue to expect our CapEx for the year to be approximately $350 million to $360 million for this year in the U.S., about $80 million at MGM Macau, plus another $80 million related to the development of our Cotai project, which includes the $56 million that we recently paid regarding our land concession contract. To help you with your guidance on some below the line numbers in the fourth quarter, we expect our stock compensation in the fourth quarter to be approximately $10 million to $11 million. Depreciation expense in the fourth quarter is estimated to be about $230 million to $235 million. Our interest expense in the third quarter was $276 million, including about $6 million from MGM China and about $17 million in noncash amortization. And we estimate that our gross interest expense in the fourth quarter will be approximately $285 million. With that, I'll turn it over to Chris Nordling to talk about CityCenter.
Christopher W. Nordling: Thanks, Dan, and good morning. CityCenter resort operations posted record third quarter EBITDA of $59 million, an 18% year-over-year increase. At ARIA, third quarter EBITDA was $47 million, a 17% increase over 2011. This was also the highest third quarter EBITDA since opening. Total casino revenue exceeded last year with net table games revenue up 4% and net slot revenue up 3%. ARIA benefited from a favorable table games hold impact of $8 million year-over-year, with gross table games hold percentage of 29.3 versus 25.5 last year. We also continue to focus on driving profitability in the casino. The hotel posted its highest third quarter occupancy, up almost 2 percentage points year-over-year. This was mainly driven by growth in the convention segment. ARIA also recently expanded its restaurant offerings with the openings of Tetsu Teppan Grill inside BarMasa in September; and Javier's, a Mexican restaurant of Southern California in early October. So far, the feedback from our guests have been overwhelmingly positive. In fact, revenues in the quarter for BarMasa with Tetsu were up 44% over last year as customers have been drawn to this unique culinary experience. Additionally, Javier's has had strong launch and has enhanced the energy throughout the adjacent casino floor. Viva ELVIS officially ended its run on August 31, and we're looking forward to the opening of Zarkana in November. The theater has been modified for the new show, and the artists are completing their final rehearsals in anticipation of the opening November 9. We expect this new show will turn what was a loss to our business into significant profits while also driving up ancillary business. Vdara reported third quarter EBITDA of $4.3 million, and Crystals EBITDA for the quarter was $8 million. At Crystals, we executed leases for approximately 8,500 square feet of luxury brands during the quarter. That concludes my report, and I'll turn it over to Grant Bowie.
Grant R. Bowie: Thanks, Chris, and good morning, and for those of us in Asia, good evening. I'd also like to reinforce Jim's comments for our friends on the East Coast of United States. We send you our best wishes, and as a part of the world that suffers from a lot of those natural disasters, we understand completely what you're going through, and we certainly wish you a speedy and happy return to successes that you certainly deserve. Here at MGM China, the third quarter, MGM China's net revenues were $665 million. That's up 7% year-over-year and in line with market performance. Before branding fees, adjusted property EBITDA was $158 million, an increase of 5% year-over-year. While our overall VIP win rate for the quarter was approximately 3%, EBITDA was negatively impacted by the low win rate on our in-house business and the rolling chip operators. At the end of September, we completed our VIP gaming expansion project on level 2 and opened the business just before the Golden Week holiday. During the holiday period, our VIP business generated several record single-day volumes with the addition of this space. During the quarter, across our key revenue segments, we grew our main floor table games and slots while our VIP business was down. Consistent with the market growth, our main floor table wins was up 27% year-over-year. But the main floor business experienced a 300 basis point improvement in departmental margin due to improving table yields and operating decisions based on our key performance indicators. Now the KPI management process, which was established over the past year, continues to enhance our LIBOR productivity and asset utilization. Our slot win increased 44% year-on-year, exceeding the market growth of 11%. Our slot business had an impressive 50% margin and also up 50 basis points year-on-year and continues the very strong growth performance we're seeing from our slot business. As Jim mentioned, we have ended our formal acceptance of a land concession contract on Cotai, which resulted in a payment of US$56 million in October for that contract. The next step is for the public gazetting of the land followed by the general building permit approvals. In the meantime, we continue to make progress on getting our construction team in place, as well as refining and enhancing our design. Our general contractor will be on board this quarter as we had planned, and we are prepared to kick off the construction once we receive all the required approvals. Our Cotai project, as previously advised, will have up to 500 tables, 2,500 slots, 1,600 rooms and a budget of approximately $2.5 billion to be spent over a timeframe of 30 to 36 months. The project will feature over 85% gross floor area of non-gaming office, including restaurants, retail and entertainment. At the end of the quarter, MGM China had approximate cash of $936 million, debt of $539 million and an adjusted leverage ratio of less than 1 based on a trailing 12-month EBITDA. With that, I'd like to turn it back to Jim for his closing remarks. Thank you.
James Joseph Murren: Well, thank you, Grant. You know, Grant and his team in Macau are doing a phenomenal job. We're very proud of that effort. We're very excited about the Cotai opportunity, and as Grant mentioned, we hope to break ground in the very near future. It's a great story for both MGM China and MGM Resorts. We believe Macau remains an extremely vibrant marketplace, and we expect the infrastructure additions that are coming over the following years will continue to drive visitation in that market for MGM Macau and our Cotai resort for many years to come. As I mentioned earlier, we did have a rough August out here in Las Vegas. I think everyone did. But we began to rebound in the second half of the quarter into September and certainly in the second half of that month. And going into the fourth quarter, those improved trends have continued. Looking at the fourth quarter, we have some good things coming up. Great product offerings are coming online. As Chris mentioned, Zarkana, the new Cirque show at ARIA, opens next Friday. Blue Man Group is coming back to our family, opening up at Monte Carlo the following week. We now have all of our rooms back at the MGM Grand. They're all online as that remodel program was completed in late September. We're still in the progress of remodeling the Bellagio spa tower, which will be completed in mid December, and we'll have more rooms in service in the fourth quarter. And despite having more rooms available, we are seeing a somewhat better rate environment, and we expect that REVPAR in the fourth quarter will be flat to slightly up for the year. Of course, we are watching closely the impact of storm Sandy on these numbers, but we are optimistic with that forecast for the year -- for the quarter. Looking out into 2013, we're very encouraged to see that convention bookings, our pace is up over 10% year-over-year, with rate up. And although it's early, 2014 pace is even stronger. We're currently pacing to have about 15% more arena events between the Mandalay Events Center and the MGM Grand Garden Arena next year versus this year, and we believe that the new restaurant, nightclub and entertainment offerings that we have underway will continue to not only enhance the customer experience, but drive increased profitability throughout our strip properties. And so with that, operator, we have -- well, we did a good job. We have even more time for questions, and we'd like to turn it over to you for the Q&A section of our call.
Operator: [Operator Instructions] Your first question comes from the line of Carlo Santarelli with Deutsche Bank.
Carlo Santarelli - Deutsche Bank AG, Research Division: Hey, Grant, if you could kind of walk through, obviously, when you look at the Macau segment, margins were down a little bit. Clearly, you had some tough hold comparisons, not so much this quarter but earlier this year and in the last year. Could you talk a little bit around the 3% hold maybe and try and give us a better sense of whether it was unlucky in certain segments that kind of hampered the margins a bit in this quarter so that we can get a better understanding of the normal OpEx we could be thinking about going forward?
Grant R. Bowie: Sure. Thanks, Carlo. Yes, as I indicated and as you've picked up, our VIP market -- or our VIP revenue is generated from 2 components, one being the revenue share operators and the other being from the rolling chip operators. The rev share operators were pretty consistent and are generating about 87% of our business. We did have a difficult and volatile run with our rolling operators. The impact of that on a normalized basis is sort of mid teens of the millions effect, and that was obviously caused -- another effect, which you also picked up, that it did have some impacts on the margins so about mid teens of millions of effect in terms of below normalized win. And then on top of that, you also know with the rolling chip program, we also have the double jeopardy that you don't hold so well but you also end up paying the commissions as well.
Carlo Santarelli - Deutsche Bank AG, Research Division: Great. That's helpful. Jim and Dan, if you think about the project that you guys are currently evaluating right now, and obviously some of which are further along the line than others, have you thought a lot about partners at this point or go it alone and if so, financing requirements, et cetera, in the event more than one were to come to fruition?
James Joseph Murren: Do you want me to take that, Dan, and jump in? So we feel like we're going to have a lot of information over the balance of this year and into next year to be able to answer that question more clearly. We certainly open to partners and believe that we should be building projects in the most capital-efficient way and never lose sight of the fact that our overarching goal is to reduce leverage in the company to increase our balance sheet strength. So we got to win a few of these things to see. So we'll know next week about Maryland. If we prevail there in the referendum, we still have to win an RP there. And if we prevail there, we could talk about how that capital structure would be. And the same would be true in the Commonwealth. And then certainly in the case of Toronto, I think we've already indicated that we would want to seek a partner, and that's a very big opportunity. And we've already had very productive conversations as it relates to capital partners if we were to prevail in Toronto. So overarching goal, deleverage this company, but where we have a particular edge from a development perspective, where we believe we can win in markets that are good potentially very profitable, we should seek them in a very targeted way. We're doing that in those 3 markets I just mentioned, and we will ensure that if we do win, we will finance it in a way that benefits the MGM shareholder and debt holders.
Operator: Your next question comes from the line of Bill Lerner with Union Gaming Group.
William J. Lerner - Union Gaming Group, LLC: Just one question as it relates to VIP in general, both in Vegas and in Macau. Maybe could you give a little bit of color on, I guess, trends? In Vegas, obviously, July and August were particularly strong in Bacc demand and win. Have you been -- are you capturing at least on the demand side, and then obviously hold is a different story, but in Macau, Grant, obviously where people see the data monthly and feels like there's a wait and see with respect to leadership change, but any color around what's going on with trends through the -- into the fourth quarter would be very helpful.
James Joseph Murren: Well, Bill, maybe we'll have Bill Hornbuckle tackle Las Vegas, and then you can turn over to Grant. Bill?
William Joseph Hornbuckle: Sure. Thanks, Jim. A tale of 2 stories. Internationally, as you could tell, we were down about 12% in win. If you focus on Jim's earlier comments about Bellagio, it literally got down to 7 customers domestically. The opposite side of it buoyed by some pretty strong events. Domestic, we were up about 18%. We have seen a rebound in late September, Madonna, et cetera, and then pushed off in October. It seems very productive for us, and we're very excited by that. Overall, I think if you look at the marketplace and we've seen what's happened in the community, China is up slightly, as is domestic for Las Vegas obviously. Southeast Asia is doing very well. Japan is still off, and Latin America is up a bit as well. We would like a better share; that's not lost on us. We've done a couple of structural things here to refocus our troops in our group. We've had -- we brought in some leadership both on the international side and the domestic side, and we're going to have a heavy push to strategically reposition troops in Asia to begin to make sure that we get more than our fair share of that business coming from anywhere there, Macau, Singapore and other markets back here to Las Vegas. Maybe, Grant, if you could fill in the Macau story.
Grant R. Bowie: Sure. Thanks, Bill. I think the issue currently is we've gone through a period of exceptional growth. And putting aside the point that you've previously indicated, Bill, the leadership change, and that definitely has an impact, and it has tended to cool the markets somewhat. I think what we're also seeing is that the VIP business is probably consolidating, but I would want to continue to reinforce that the mass market continues to grow steadily and consistently despite seeing our own numbers, and that's showing up as well. And I think that may be representative of the changing nature of the capacity that we have in the market. The VIP business into October has been steady. We saw it going and this is now the, I guess, the third major holiday period where we're seeing the situation where the holiday days themselves were not nearly as strong as the period that followed the holidays. And so that's a trend that we saw last national day holiday, last Golden Week, Chinese New Year now for this period. So I think what we're now seeing is that Macau is slightly changing its pattern. So in summary, the mass market continues to grow strongly. We're confident there. VIP market is consistent, but it's certainly slowed up and what we're looking at is probably numbers of growth going forward, consistent with the GDP growth of China rather than some of these accelerated growth rates that we've seen over the last 2 or 3 years. In simple fact, we're now seeing the effect of large numbers on that.
William J. Lerner - Union Gaming Group, LLC: On the VIP side, right, not mass?
Grant R. Bowie: Particularly the VIP, yes.
Operator: Your next question comes from the line of Shaun Kelley with Bank of America.
Shaun C. Kelley - BofA Merrill Lynch, Research Division: So I just wanted to go back to kind of the core Vegas trends that you guys were seeing. Jim, if we recall to last quarter, I think you had mentioned that one of the areas of softness was kind of in the quarter for the quarter group business and in group pickup. Could you just give us a sense of, is that what you're seeing improve here in September and October? Or is it more a function of mix? And then my second question would just be kind of how do you think about that group pickup going into next year?
James Joseph Murren: Okay, yes, that's exactly what we did see when we chatted at the end of last call. Corey or Bill, do you want to pick up on that?
Corey I. Sanders: Sure. On the convention pickup, September, October we were in pretty good shape anyways going into the quarter. What we're seeing is on the group booking business is strong and even in the third quarter was strong for the next year and '14 and '15. So that's pretty stable, and that continues to be a positive sign towards our recovery.
James Joseph Murren: Bill, do you want to add?
William Joseph Hornbuckle: Maybe just a little more color. The recovery in casino and FIT, we had seen about a 5-week blip, if you will, June, July. We've seen some recovery since then and the convention story is as Corey has suggested.
Operator: Your next question comes from the line of Ian Weissman with ISI Group.
Ian C. Weissman - ISI Group Inc., Research Division: I was wondering if you can talk about the continued disconnect between visitation trends in Vegas and spend per visitor. Is it more on the gaming side or on the leisure side?
Daniel J. D'Arrigo: Ian, this is Dan. I think what you're seeing is, really, you still have a fragile consumer out there and they're continuing to kind of pick their spots. So overall, we're seeing improvement in our underlying trends as it relates to what we take a look at and track day in and day out, which is our revenue per occupied room. There are some days where consumers are picking their spots, where entertainment revenues will look better and the next day, casino revenues will look better. So you are still dealing with a fragile consumer. We are seeing -- particularly in the third quarter, we saw more reliance on leisure customers, which is a lower spend overall type of customer that we needed to dip into a little heavier than we did last third quarter, and that is a lower-spending customer. Going forward, we think we'll see an increase in international travelers going forward. It's not only a push we're making as a company, it's a push the LVCVA and McCarran are making as well in conjunction with us, and we think that will help forward trends as we bring in those types of customers who stay longer, spend more. They're good gaming customers, but they're even better retail, S&B and entertainment customers. So the underlying trends are still moving in the right direction. We had some tough comps in the third quarter as it relates to some of that convention mix and having to dip into the leisure but overall, the trends are moving in the right direction.
James Joseph Murren: I guess I was -- I'm a little confused on the question because I don't see a disconnect. I mean, visitation's up and our revenue per occupied room has been moving up this year and in all areas. So we're looking at our non-gaming as far as gaming. If you take hold aside, the revenue per occupied room has been improving. And one of the things that -- I think what one of your analysts have done, Corey, is to do the linkage between the Case-Shiller Index and our core property volumes, particularly our slot handle. It's an incredible R2 between like 0.97 or something like that. It's pretty tight, right?
Corey I. Sanders: Very tight.
James Joseph Murren: And so as the overall consumer is improving, or housing in general has improved, we're starting to see our core business taking hold out. I'm looking at handling and drops improved. So I think there's a good linkage between visitation moving slightly higher and our overall revenue per occupied room.
Ian C. Weissman - ISI Group Inc., Research Division: I guess the question was more just generally across the strip numbers. If you look at visitation trends and spend per visitor, just it seems like it's flat lined for the last couple of years, but your comments are helpful. Last question is I know you talk about healthy trends in September and I believe in October. Have you seen or witnessed any cancellations related to Sandy at this point?
James Joseph Murren: Yes. I don't know if you have that.
Daniel J. D'Arrigo: Yes, we have...
Ian C. Weissman - ISI Group Inc., Research Division: Can you want to quantify that?
Daniel J. D'Arrigo: Sure. We think there's -- we're going to lose about 4,000 room nights. It's approximately about close to $1 million of revenue, a little less than that.
James Joseph Murren: 4,000 room nights is -- in the context of how many room nights, Corey, what’s that? Pretty small.
Corey I. Sanders: Yes, it's a very small amount. The cancellation was right in the middle of one of our bigger conventions, SEMA, and that's probably why you're seeing a bigger impact than normal on the revenue side.
Operator: Your next question comes from the line of Robin Farley with UBS.
Robin M. Farley - UBS Investment Bank, Research Division: Just a follow-up question for Grant Bowie. You commented about the kind of mid teens effect on rolling chip, and is there anything else impacting the expenses in Macau that we should be thinking about going forward?
Grant R. Bowie: No, not really. In fact, we've been, as we have discussed before, been pretty conscious of the need to keep everything very tight, and I'm pretty comfortable with that. I guess just the general overriding market pressures that everybody's aware of labor and the potential for increases in labor costs going forward. So that would probably be the only significant issue as far as I see it. And that's a market impact as opposed to, say, an MGM impact.
James Joseph Murren: Grant, just remind everyone, what’s labor, about 5% of overall costs, something like that?
Grant R. Bowie: Yes, 5.4%.
James Joseph Murren: Yes, so while increasing, it's relatively de minimis.
Robin M. Farley - UBS Investment Bank, Research Division: Great. And then just looking at the trends in the market overall, the divergence between your mass continuing to grow nicely and VIPs slowing, do you have thoughts about kind of rebalancing your tables between mass/VIP or adjusting your focus there?
Grant R. Bowie: We actually do that all the time. With the latest addition upstairs, it looks like there's a slight -- there's been some extra tables going to VIP, but this is a constant and quite fluid situation. And clearly, as we see the demand for the tables in different areas, we would do that. We're still pretty confident that we've got the right balance. We're trying to drive the yields up on the mass market, and we continue to do that and it looks pretty strong. But that's really, it's really a day-to-day active management process that we go through.
Operator: Your next question comes from the line of Felicia Hendrix with Barclays.
Felicia R. Hendrix - Barclays Capital, Research Division: Dan, you talked at the beginning about how hold impacted some of the properties in the quarter. Just wondering was there a net impact from hold overall to your strip EBITDA?
Daniel J. D'Arrigo: There was, Felicia. I think when you look at it, obviously, we were up year-over-year in terms of absolute hold percentage by a point. But with Bellagio being so much lower and having most of the volume in our wholly owned properties here at Bellagio, that obviously did impact the overall quarter. It was offset by some of the other properties. I think net-net, you're probably looking at it in a range of about plus or minus around $10 million.
James Joseph Murren: I think the hold was in our normal range, and 1% or 2% is a normal fluctuation that you're going to see in a quarter so it's within normal playing ranges.
Felicia R. Hendrix - Barclays Capital, Research Division: Right. But given the volumes at Bellagio, I guess, Dan, did I hear correctly about $10 million to EBITDA?
Daniel J. D'Arrigo: Roughly. That's probably about right.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay. And then Jim, just getting back to your group business, last call, you'd mentioned to us that your 2013 group business was largely sold already, but you were mainly at the time working on the holds or the shouldered periods. Just wondering if you can give us an update if there's been any progress there.
James Joseph Murren: Do you want me to turn it over to -- there has been a little bit – want me to turn it over to one of you guys? Go ahead, Bill.
William Joseph Hornbuckle: I mean, generally speaking, there has. I mean, we go into the year at 80% for the year in the year. By the time, we hit the end of the year, we're already over 80% in those bookings. The only reason you sense a little hesitation in my voice is the balance of that 20% usually comes within the year, 15% give or take. And then the ability to grab rate in those groups in those segments always generally depends on the overview of the general economy, what's going on with FIT. Because while very meaningful to the bottom line, recognize they’re still only about 15% of our overall mix. And so we feel great about '13. We feel better about '14, and our ability to push rate versus hold rate will be determined ultimately by what happens in the first and second quarter with overall visitation.
Corey I. Sanders: And Felicia, we have 91% of our rooms on the books now. So it has improved since the last time we talked compared to about a little over 80% last -- at the same time last year for the same period.
James Joseph Murren: And then certain properties, Chris, I've got to believe ARIA's like sold-out just about...
Corey I. Sanders: We're 5,500 room nights ahead of last year at the same time. We're getting real close there, just small tiny shoulder dates.
James Joseph Murren: Right. So I mean and the ones, the big, our most successful conference facilities like ARIA and Bellagio and the MGM Grand conference facilities, what Bill was referring to mostly is the convention center at Mandalay, which obviously we hold out some for those shoulder periods to try to drive rate. But we're in better shape today than we were when we talked to you on the second quarter call.
Operator: Your next question comes from the line of David Bain with Sterne Agee & Leach.
David Bain - Sterne Agee & Leach Inc., Research Division: First one's for Dan. I think you have about $3 billion in notes with the combined yield near 11%, and I'm wondering if you can give us any sense as to what that yield could be reduced to and any timing of freeing up some free cash flow from that.
Daniel J. D'Arrigo: Well, obviously, you can see where they trade, David, better than we can at the moment and in the marketplace, and there's a big disconnect in what we pay versus where they trade in the marketplace. So there is an opportunity there at the right time to think about putting our capital structure in the right context. And we think we can pick up anywhere from $100 million to $200 million of interest savings in the future with putting the right debt structure in place.
David Bain - Sterne Agee & Leach Inc., Research Division: Okay. And then, Grant, would you care to take a swing at the opening timeline in Cotai? And looking at where you are related to your competitors, I mean, Wynn has a ground permit, but I don't think they have a construction permit yet; SGM no formal Gazette; Galaxy and Studio are underway. Any way to handicap you versus competitor timelines, and do you think that there are going to be any labor issues in terms of the bottleneck?
Grant R. Bowie: Well, I think we're all running on a reasonably consistent cycle. So yes, it makes it rather complex. It think the key issue is going to be, as you alluded to, it's going to come down to that organization that can line up its approvals most effectively and get out and contract the capacity that's going to need to be available. Now I think that the thing that the government is fully aware of is that they do know all the projects that are coming online; they do know and have a fair indicator because we've all provided information on labor requirements. And I'm pretty confident that as long as we, as an organization, have completed all of the approval processes that we need to go through, that we will be able to secure the contract as who can supply the labor to get the job done. And so it is going to come down to getting ahead on your planning. And we're very confident on that, and we'll continue to do that. And my last comment would be is this is a marathon, and we all just have to keep on working. But it's very, very exciting. We've all worked very, very hard in getting us to this stage, and I think we're pretty confident that we can continue – and we can keep continuing to deliver, and we keep trying to underpromise and overdeliver.
David Bain - Sterne Agee & Leach Inc., Research Division: Okay. And then just final one, Grant, have you heard anything new you on the smoking ban as it relates to enforcement? Any new chatter or do you have any thoughts about that for next year in general?
Grant R. Bowie: That is always a challenge. I think we've seen this around the world. The Executive Order was issued yesterday. We're going through that at the moment, digesting the final details. We've been working on this for some months now, and we have a series of different initiatives. And we're in that process. We do have to submit to the government our plan of the smoking areas, and we need to work through that. So I'm not really in a position to go into too much more detail at this point in time. We are, obviously, looking closely at ways to make sure that we maximize the areas that we do have available to ensure that we can protect our gaming revenues.
Operator: Your next question comes from the line of Jon Oh with CLSA.
Jon T. Oh - Credit Agricole Securities (USA) Inc., Research Division: My question is on maybe if you could help us map out the Cotai CapEx. I believe Grant mentioned $3.5 billion earlier. Could you help us map out what you think is the CapEx crunch over the next 36 months or so, and how should we then think about dividends coming up from Macau with respect to that CapEx we consume? What should we expect? And also we've seen dividend commitments coming from your other competitors that are being quite aggressive out of Macau. How should we think about that, given that you're going to be spending a large sum of money in Cotai?
Daniel J. D'Arrigo: Grant, maybe I'll start off and you can fill in the blanks. But Jon, the construction spend in Cotai is estimated at $2.5 billion, not $3.5 billion. So -- and the way we kind of look at it is we've just put in a $2 billion credit facility. There's plenty of excess cash sitting on the balance sheet. And depending on how you're modeling free cash flow going forward for the operations over the next few years, there's plenty of sources to not only fund the $2.5 billion Cotai project but to consider and have the board of MGM China think about dividends and other uses of capital going forward to maximize the return to our shareholders. So I don't think those are mutually exclusive, given the capital structure we put in place. From a timing standpoint, clearly, the biggest payment will be the land concession payment that we've made. Over the next few months, we'll be incurring design and preliminary construction and land payments, but really, in these construction projects, you won't start really ramping up ‘til year 2 and year 3 and a little tail post opening in terms of big dollars of construction amounts. So the first year will be predominantly kind of a land concession payment and some of the preconstruction activities, and then year 2 and 3 is when you'll see the bulk of the payments being made. Grant, I don't know if you had anything more to add to that.
Grant R. Bowie: No, that's pretty thorough, unless we have some specifics.
Jon T. Oh - Credit Agricole Securities (USA) Inc., Research Division: All right. And just finally for me, does this notion going on that post the China election that perhaps we should see some form of resurgence in demand, especially coming from VIP? And this is something that's commonly shared by several of the other companies in Macau also. Maybe for Grant, could you maybe just map us out what do you think about this? Are you seeing any form of stabilization, so to speak, post Golden Week already? Do you think that confidence will come back, and how does that impact VIP and also mass market for 2013?
Grant R. Bowie: As I mentioned earlier, frankly, I don't really see significant impacts in the mass market at all, and we're continuing to see strength in that market. But there is no doubt that the VIP market has slowed and that probably is a little more impacted by conditions in China. I think it's very difficult for any of us to give an accurate assessment as to what -- how long it may take for things to ramp up. I think there's a great expectation and for anybody who's in that part of the world already, there's a lot of speculation. I think the key issue with the VIP there, I just keep on reminding some people, this has been substantial and significant growth over a relatively long period of time, and I think what we're seeing is something of a consolidation. So I don't think some of the indicators we're seeing are entirely linked to just the conditions in China. But we're now working from a very, very big base, and we now are obviously moving forward from that, and that's why we've -- we're looking at moderating the growth rates around that 8% to 10% while the mass market, we would expect to grow -- continue to grow somewhat faster than that.
Operator: Speakers, there are no further questions at this time.
James Joseph Murren: Well, thank you, Mackenzie, and thanks, everyone, for joining, given the complications for most of you on the East Coast. We'll be here all day for any follow-up questions. And thank you, all, for participating this morning.
Operator: This does conclude today's conference call. You may now disconnect.